Valeria Ricciotti: Ladies and gentlemen, and welcome to our Q3 Nine Months 2022 Results Presentation. I'm Valeria Ricciotti, Head of IR and credit rating agencies. Today, our CEO, Alessandro Profumo, will take you through our progress during the first nine months of this year. And then our CFO, Alessandra Genco, will take you through the nine months results and the outlook for the full year 2022. And we will then welcome your questions. I will now hand you over to our CEO.
Alessandro Profumo: Thank you, Valeria, and good evening, ladies and gentlemen, and thank you for taking the time to join us today. Let's start with the key points about our third quarter and nine months results and our recent very positive progress. We have seen good solid third quarter results, confirmed growth in the first nine months, and we are on track for our full year targets. We have raised our expected level of new order intake, and we are now targeting slightly better free operating cash flow and net debt at the year-end. Our main defense governmental side has delivered a strong and robust performance, and there is a gradual recovery in civil markets. We are commercially strong, and we are achieving a very good commercial momentum. In the first nine months, order intake stood at €11.7 billion, up 26.8% adjusting 2021 to exclude the contribution of GES in August and September, increasing significantly year-on-year with a major order of €1.4 billion for 32 AW149 helicopters in Poland signed in July. And even without this large order, we have stepped up our level of new order intake. We have increased our book-to-bill to 1.2x, providing greater long-term visibility, and we are carrying this strong commercial momentum forward and seeing good demand across defense, governmental, businesses and faster-than-expected recovery in civil helicopters. We are delivering well on our strong backlog with revenues at €9.9 billion, up 4.1% on a perimeter-adjusted basis. We are confirming our growth paths in our defense governmental businesses, and we are improving profitability with EBITA at €619 million despite headwinds. Thanks to a good underlying improvement of 9% on a restated basis, adjusting for COVID cost with EBITA, which last year were previously accounted for below the line and reflecting the changes in perimeter, the deconsolidation of GES and the inclusion of Hensoldt. With the return on sales at 6.2% or at 7.2%, excluding pass-through, we are also delivering on our target of improving cash generation, with free operating cash flow at negative €894 million, which is more or less €500 million higher year-on-year, higher in the sense that better than the previous year, with higher quality from lower factoring and reduction in seasonality. And we are on track to reach our slightly higher full-year target. Net debt is at 4.4%, also reflecting the old Hensoldt acquisition and the disposal of GES and AAC. So our nine months results show how we have been delivering across the group. Our main defense governmental side remains very strong and robust. Helicopter is performing strongly with the defense and governmental, very robust. And we are also seeing faster-than-expected recovery in civil markets. Electronic Europe continues its good progress and is seeing exciting commercial opportunities. DRS is delivering on important key U.S. DoD programs. Aircraft is showing continued strong profitability, and we are seeing gradual recovery in our structure in line with plan. We are actively managing and navigating the more complex external macro environment, dealing with cost and supply chain pressures and our group backlog as the reason, further to over €37 million. It's not just as increase in the backlog that underpins our confidence, but the fact that we are delivering it and it provides us with greater long-term revenue visibility and certainty, especially when we win more platforms order, such as Poland. So overall, the group is on track, and our very strong commercial momentum means we are raising our guidance for new order intakes this year from around €15 billion to a level higher than €16 billion, reflecting both the excellent third quarter order intake, including the €1.4 billion Polish holder, but also our confidence level in our short term order pipeline for fourth quarter, especially in Italy. We are also confirming our guidance on revenues and EBITA while slightly raising our free operating cash flow guidance for the full year, and we are also improving our expected year-end group, net debt level from around €3.1 billion to €3 billion. Thanks to the free operating cash flow expected at year-end, disposal carried out so far, and despite the 25.1% acquisition of Hensoldt. We are also announcing today's redemption of our bonds in the U.S., redeploying the higher-than-expected proceeds from disposals this year. We are taking advantage of current market opportunities and paying down the most expensive instruments in our portfolio. As these bonds have coupon in the range of 6.25% up to 7.375% with interest expenses of €20 million per year until 2039, 2040. At the same time, we have been making some important strategic steps. This year seen important moves to help position us best for the future, reinforcing Leonardo's positioning in our Defense Electronics segment, with the acquisition of our 25.1% stake in Hensoldt, which is well-placed in sensor solutions for defense and security applications. And Leonardo DRS is continuing delivering on promises on a stand-alone basis. We have completed the divestiture of AAC and GES, leading to more focused DRS. And then the combination with RADA, we reinforced DRS core business of sensor and integrated systems. This is positioning the combined entity in the fastest-growing segments of the U.S. DoD budget and as well as current global military requirements and needs. And it brings significant commercial and technological benefits. This will also allow us to list Leonardo DRS in volatile markets. We are proceeding on transaction milestones as per plan. RADA shareholders voted and approved the transaction on the 19th of October, and CFIUS approval was received on the 24th of October. And so now we expect closing end November, beginning of December. We have also spoken in recent months about our deep commitment to ESG and how it's core to our industrial plan and long-term sustainable growth. And our goals are to significantly reduce our environmental impact, further increase -- further our positive social impact and maintain the highest level of governance. We have just announced an important development, strengthening our decarbonization plan. We are -- really be aware of our target to reduce Scope 1 and Scope 2 emissions by 40% by 2030. Now we are going further understanding our decarbonization efforts of Scope 3 emissions related to our entire value chain beyond the direct control of the group. We are just formally committed to the SBTI, the science-based target initiative. After fully analyzing and mapping our Scope 3 emissions, we are keen to adopt it as a solidly recognized reference standard. Over the next few years, we will strongly work to define and achieve these ambitious emissions reduction goals. We will focus on a number of main drivers, including reinforcing further efforts to reduce the environmental impact of our own operations, engaging our supply chain's race towards lower carbon impact, working with customers to take advantage of our solutions to reduce product-related emissions and the introduction of innovative technologies and more efficient products. To sum up, before I hand over to Alessandra, we have delivered a solid performance across group in the first nine months and significantly increased our new order intake with impressive strong commercial momentum, which we are carrying forward into fourth quarter. We are also increasing profitability and cash flow generation. And all in all, we are on track to achieve our full year target on revenues and EBITA despite changes in the perimeter, while we are now targeting higher order intake and slightly better free operating cash flow and net debt at year-end. We are managing the impact of pressure from inflation, energy and labor costs, supply chain and other challenges of the external environment. So external pressures are likely to continue next year in 2023, especially in relation to external cost inflation and to the tighter labor market. But we then see this pressure reducing post-2023, and we have continued good, strong confidence in the medium term, underpinned by our strong commercial performance and momentum by the positive trends in our key markets and how we are delivering of our strong backlog, which provide us with growing revenue visibility and certainty. Thank you. And now I want to hand over to Alessandra.
Alessandra Genco: Thank you, Alessandro. Our key group metrics show a good solid performance in the first nine months, delivering as we said we would, with very strong commercial performance with a backlog now standing at €37.4 billion, supporting growing long-term revenue visibility. Orders at €11.7 billion, significantly higher year-over-year, even excluding the significant Polish AW149 helicopter order. Our book-to-bill is above 1, 1.2, and we are seeing continuing good demand across our defense and governmental businesses. We delivered a solid performance in revenues at €9.9 billion, up 4.1% year-over-year after adjusting for perimeter changes. EBITA of €619 million, with a good underlying improvement of 9%, also on a restated basis for treatment of COVID costs with return on sale at 6.2%, and at 7.2%, excluding pass-through. And importantly, we are on track with increasing free operating cash flow. It means we are on track for our targets. So we are confirming our full year guidance for revenues, EBITDA, despite changes in perimeters. And also, we are upgrading our new order intake guidance to a target level of higher than €16 billion, as Alessandro said, reflecting the excellent Q3 order intake and also our good confidence in the fourth quarter order pipeline, including Italy. We're also seeing slightly better free operating cash flow and net debt, notwithstanding the redeployment through the bond buyback of higher-than-expected proceeds from disposals. We are actively managing and navigating the challenges in the external macro environment, where to date, we have worked hard and managed to contain inflationary pressures on cost. In Leonardo's four domestic markets, wage inflation has been seen in the U.S. and in the U.K. already in 2022, with Italy and Poland likely seeing pressure from '23. And to date, we have seen some limited impact mainly in the U.S. with DRS from constraints relating to supply chain and the tight-skilled labor market. I also want to explain both the results and the underlying progress across the group, adjusting for a number of moving parts. As you know, there have been some changes in perimeter. In DRS, through the sale of GES from August 1, which contributed €26 million to orders, €33 million to revenues, €4 million to EBITA, and €23 million to free operating cash flow in August and September 2021. And then in Defence Electronics, from the acquisition of our stake in Hensoldt with a negative contribution to this year of €9 million at EBITA level, which reflects its equity contribution at first half '22 as the deal was finalized at the beginning of January. You can see more details in the Appendix of the presentation. You adjust for COVID costs previously accounted for below the line as nonrecurring cost, €35 million in the nine-month last year. Then you can see we achieved underlying growth in EBITA of 9% from an adjusted base of €568 million. So looking at the performance across the group on key metrics, starting with order intake, overall, very good performance. New orders at €11.7 billion, up 26.8% year-on-year with a strong result, even excluding the significant Polish AW149 helicopter order. Important book-to-bill at 1.2, commercial machine working well, seeing and capturing opportunities domestically and internationally, providing long-term visibility, especially on the platform side. Helicopters' stand-out performance in Q3, where they achieved nine-month orders of €4.6 billion, up 93.4%, seeing good performance for our products, both domestically and internationally, especially in the defense governmental side and customer support, as well as a significant €1.43 billion Polish order signed in July. There were also orders for the AW609, governmental orders in Italy for the AW119Kx and the AW139, in China for the AW189 in a rescue role and others. And we're also seeing the civil side recovering faster than expected. Moving on to electronics. Electronics Europe saw continued good commercial performance with orders at €3.5 billion with defense being the main driver. This includes the order to supply naval guns and logistical support for German Navy brigades, plus orders for combat systems for special operations and underwater rescue operations and the order for the E-Scan Radars for the Spanish Eurofighter Typhoon fleet. On top of this, we can see a good short-term pipeline, including the U.K. MoD, Eurofighter radar upgrade expected in Q4, and Defense Systems performing really strongly growing opportunities, leveraging the high demand in the ammunition segment as well as in land and naval platform upgrades. DRS stepped up new order intake to $2.3 billion, up 22% in dollar terms, demonstrating its great positioning in key DoD program areas, with further orders for its new generation computer systems for the U.S. Army mission commands, the Mounted Family of Computer Systems, plus additional orders for the IM-SHORAD, short-range defense packages which allowed the neutralization of low altitude aerial threats, including drones. Aircraft booked €1.6 billion orders in line with last year, with export orders for Eurofighter Typhoon in Spain, the C27J for Slovenia and the first phase of the Euro mail program, as well as additional orders under the JSF program and for logistics support for Eurofighter. Aerostructures had new orders for €342 million, up 14.4%, driven by orders from Airbus, mainly on the A220 and A321 and the EuroMALE project, but the level still reflects the challenging market condition. Overall, a very good commercial performance and new order intake. Now moving on to revenues. We saw continued solid group performance delivering on a strong backlog. Overall revenues of €9.9 billion, up 4.1%. This includes €257 million of positive ForEx effect. Analyzing now the segments, helicopters in the nine-month revenues had €3.2 billion revenues, up 16% year-over-year, driven by delivering on the major Qatar NH90 contract as well as on the AW169 line and from customer support. Electronics Europe had good solid performance with €3.1 billion, up 4.2% or 7.4% on a like-for-like basis after adjusting for the reclassification of the automation business in other activities starting from January '22. Again, Defense Systems was a key growth driver here. DRS revenues of €1.9 billion, lower by 7.2% in constant currency because of some slippages caused by supply chain constraints. But this was more than offset by the positive ForEx effect. Aircraft saw revenues of just under €2 billion, with lower production for trainers and IFAC weight activity due to delays from the supply chain while in '21, we had, had a significant Eurofighter weight ramp-up. This is offset by growing activities in European defense, EFA logistics and C-27J. And we expect to fully make up the slippage on Eurofighter Kuwait in2023 and 2024. Aerostructures revenues were lower at €351 million, affected by lower activities on the B787 program, partially offset by higher production in the Airbus programs. More weighing this year is on the Q4 activities after the recent resumption of production on the Boeing program. Overall, we have delivered an EBITA in line with expectations, at €619 million, with a return on sales of 6.2% and an EBITA up 9%, adjusting for perimeter changes and treatment of COVID cost. Helicopters had a solid profit performance with EBITA of €234 million, up 4.9%, increasing due to higher volumes with a return on sales of 7.4% million reflecting expected pass-through activities with EBITA of €306 million, up 8.9%, with growth in all main European business areas and in particular, Defense Systems. MBDA is performing well and ahead of last year with an outstanding commercial performance and higher contribution in the nine months of €40 million versus €30 million in the nine-month 2021. Hensoldt included for the first time since the deal closed in January had a negative contribution of €9 million at 30 June '22, according to the accounting principle IAS28 as the deal was finalized at the beginning of January. DRS EBITA reflects the impact of supply chain constraints. DRS is not alone in the U.S. aerospace and defense sector in facing challenges in supply chain especially in smaller electronics component. Combined with a tighter skilled labor market, DRS has been taking actions to mitigate these challenges. In dollar terms, it achieved EBITA of €161 million, down 4.2%, including the effect of the deconsolidation of GES. Although higher with the FX benefit at 7.9%, DRS also increased its profitability, thanks to program transitioning from development to production. Aircraft achieved EBITA of €242 million, in line with last year, showing continued strong profitability with a return on sales of 12.4%. Aerostructures saw gradual recovery in line with plan, so far on track, some activity waited till Q4, and we expect a full year improvement in EBITA loss versus last year. ATR has improved its contribution to EBITDA, negative €4 million versus negative €25 million last year. ATR's partial recovery and improved financial performance was helped by the efficiency plan and the signing of customer settlement, with deliveries -- with the consortium amounting to 10 aircraft versus 16 last year and impacted by some supply chain delays. Space had a lower contribution as flagged at half year, €10 million in the nine months versus €37 million last year. Telespazio is higher than expected with growing revenues and solid profitability, but the manufacturing joint venture is facing challenges and recorded a lower contribution also due to a risk provision on a contract related to Russia in addition to the unfavorable comparison base due to the one-off benefit related to tax regulation change accounted last year. Our overall improving profitability also translates into a better below-the-line performance. EBIT of €552 million, benefiting from the improvement in EBITDA and lower restructuring costs which last year included the effect of the voluntary early retirement agreement in Aerostructures. Nonrecurring costs now reflect the devaluation of the exposure to the countries involved in the Russia and Ukrainian conflict for €33 million. And the figure for the first nine months of '21 included COVID-related costs, as mentioned before. Net result before extraordinary transaction of €386 million benefits from EBIT performance, lower impact of financial charges and tax. And then on top of this, if you include the capital gain from the disposal of GES and AAC completed in August, net resulted accounted for €662 million. Importantly, we have continued to improve our cash flow generation, and it's sign of a sharper operational discipline. You can see that free operating cash flow was negative €894 million for the first nine months, an improvement of almost €0.5 billion year-on-year with better quality and lower factoring and with a lower level of seasonality. All of this is driven by the robust performance on the defense governmental side, and we're still targeting slightly reduced cash absorption from Aerostructures by year-end. We are on track for our full year targets, stepping our cash flow to €500 million this year, slightly better than previous guidance, taking into account the perimeter effect. And we're still achieving all this while taking actions to build resilience into our supply chain by building up inventory in electronic components to mitigate shortage risks. As previously mentioned, we are announcing today that we are applying recent higher-than-expected disposal proceeds to reduce our debt. We're taking advantage of current market opportunities, redeeming USD 300 million bonds, paying down the most expensive instruments in our assets and balance sheet. As these bonds have coupons in the range of 6.25% and 7.125% with interest expenses of approximately €20 million per year until 2039 and 2040. On this slide, you can see our expected debt maturity profile, including the redemption of the U.S. bond and the new DRS term loan subscription following the merger with RADA. At the same time, we are now targeting slightly better year-end net debt guidance. That is also after the higher-than-expected sale proceeds from GES and AAC and notwithstanding the make-whole cost on the U.S. bond redemption. So we expect to bring down the level of net debt to €3 billion at year-end. Now looking at our guidance for the full year. We have delivered solid results in the first nine months. We have significantly increased the level of our new order intake, plus we have good confidence in our fourth quarter new order pipeline, including Italy. This means we are upgrading our full year guidance of new order intake by €1 billion to a level higher than €16 billion with a robust performance across defense and governmental businesses and being where we expected to be in the gradual recovery in Aerostructures. Then, taking into account the perimeter effect due to the consolidation of GES, we are also confirming our full year targets on revenues and EBITDA, while slightly improving free operating cash flow and net debt even after the U.S. bond buyback. You can see the full year guidance set out on the slide and also adjusted for the perimeter changes this year relating to the sale of GES and the purchase of Hensoldt plus the updated guidance, including upgrades. So we are on track and delivering, actively managing despite the external macro pressures on cost, supply chain and labor. Looking further forward, we are carrying our strong commercial momentum forward, and we're delivering well on our strong backlog. At the same time, we do expect pressure to continue next year in '23 on our input costs as well as from the tight labor market for skilled labor. We're planning to mitigate these pressures at best. And in areas like energy cost, we have protected ourselves well. These pressures should start to play down after '23, and we have good, strong confidence in the medium-term prospect and outlook, underpinned by the positive trends in our key markets and our ability to capture opportunities and new orders domestically and internationally and how we are delivering off our strong backlog, which provides us with growing revenue visibility and certainty. So in summary, we have achieved very good commercial momentum and strong order intake, book-to-bill well above one, providing visibility, delivering well on strong backlog and improving EBITDA and free operating cash flow, actively managing challenges in external environment. We are on track or increasing our full year guidance and positioning well for the future. Thank you.
Valeria Ricciotti: Good evening, everyone, and welcome to our nine months 2022 live Q&A session. Before taking your questions, I would like to hand you over to our CEO, Alessandra Profumo, for some initial remarks. Thank you.
Alessandro Profumo: Many thanks, Valeria. We have delivered a solid performance across the group in the first nine months and significantly increased our new order intake with impressive strong commercial momentum which we are carrying forward into the fourth quarter. We are also increasing profitability and cash flow generation. So overall, the group is on track. Our very strong commercial momentum means we are raising our guidance for new order intake from around €15 billion to a level higher than €16 billion. And despite the change in the perimeter, we are seeing a slightly better free operating cash flow and net debt as well. While reconfirming our guidance on revenues and EBITA, we are managing the impact of pressure from inflation, energy and labor cost, supply chain and other challenges of the external environment. Those external pressures are likely to continue next year in 2023, especially in relation to external cost inflation and tighter labor market, but we then see this pressure reducing post-2023. And we have a good continued strong confidence in the medium term, underpinned by our strong commercial performance and momentum by the positive trends in our key markets and how we are delivering off our strong backlog, which provide us with growing revenues, visibility and certainty. And with this, we are ready to take your question. As you know, we are here with Alessandra and Valerio, the CFO of the group and the General Manager of the group.
Valeria Ricciotti: Let's take the first question from the call. Thank you.
Operator: Our first question comes from Alessandra Pozzi from Mediobanca.
Alessandro Pozzi: Good afternoon, and thank you for taking my questions. I have three. Well, first of all, I think it's good to see you manage to maintain or indeed, upgrade the guidance despite the deconsolidation of GES. I think what I would like to have maybe a bit more color is on the opening remarks about inflationary pressure in '23, and potentially easing from '24. Now I think the next update that we're going to have is in March with the full year results. And I was wondering -- to avoid potential negative surprise, I was wondering if you can give us any qualitative indication on the impact that it could have on margin. So whether you think you will be able to maintain margins despite the higher labor cost that we're going to see in Poland and U.K in next -- they need to be next year as well. That was the first question. The second question is on the order intake. Good to see the upgrade. And I was wondering, I think you have a target of €80 billion cumulative order intake over the business plan, so €16 billion at least every year. Do you think that given what's going on at the macro level, potentially you should be able to do better than that? And also the final question, FX. I don't think you have changed your FX assumptions. And I was wondering in the euro dollar still maybe -- or I was wondering what would be, if you can remind us the impact of FX on guidance.
Alessandra Genco: Alessandro, good afternoon, I'll take the first and the third questions you have asked. So starting with the final one on FX. The assumptions for FX rates are confirmed. What we see, what you see in the financial reports is the actual FX rates that we have encountered in the last nine months and the assumed FX rate, which we have maintained for the guidance. Fundamentally, the sterling is in line with the budget, the U.S. dollar, as you well know, has seen an appreciation. In terms of potential impact on the full year, I would say that you can utilize the impact that you see booked in the first nine months and then take it from there for the full year. First question around inflation. So we are -- as our peers facing clearly inflation pressure, both on the cost of the purchased goods and services as well as on labor. And this is part of the dynamics of the macro environment that we are all living through. What I can tell you is that we have put in place a very well-rooted in every business mitigation plan addressing this pressure in '22, and you see the results of these actions in the nine-month results, and you'll see them also throughout 2022 with the confirmation of the guidance. Clearly, for the years to come, this remains an area of major alert for us. We're very vigilant on this item, and this is clearly priority #1 for all of us.
Alessandro Profumo: It's also important to say that we have hedged the…
Alessandra Genco: Energy.
Alessandro Profumo: Energy position. So in reality for us, the inflation is coming mainly from, as Alessandra said, the renegotiation of salaries, mainly not in Italy, because in Italy, the contract is relatively stable and on purchases, because clearly, the supply chain is pricing on their cost. As Alessandra said, we are really working in order to manage that in the proper way. The last question was on ordering, sorry? Alessandro, go ahead.
Alessandro Pozzi: Is there any chance you can quantify the impact on -- of those pressures on margin?
Alessandro Profumo: Alessandro, as you can imagine, we are still working on the budget for 2023. And as usual, we don't do any comment on the number of the following year before having closed the budget and discussed in the Board. What you can be sure that, as we said, we are working in a very intense way, so -- which is clearly giving us a confidence on the capability, overall, also considering the growth of the company so that the fixed cost, that will have an impact on a larger base in terms of our revenues to manage these numbers. But again, we have to talk of that when we approve the year-end results and the budget. We have not yet discussed even in the Board. Order intake, we have a positive trend in the order intake to say what will be the projection in five years' time now is not easy. What we know is that in our previous plan, was not considered the growth up to 2% of the overall NATO expenditure in defense so that we have a positive view on our capability of continuing to grow as we planned or even better. The growth we are having this year even, considering a single relatively large order because €1.4 billion is relatively large, but all the other orders are smaller, give you the solidity of our numbers because in reality, we are moving very well in all the divisions.
Alessandro Pozzi: Okay. Maybe just a follow-up on the order intake. There were some news potentially from Nigeria that the sale of some jet fighters could be progressing. Any chance you can comment on that?
Alessandro Profumo: Alessandro, you know that, again, and I'm really sorry for that. We never comment potential orders. As soon as we will finalize the contract, we will inform you. So it's -- we have many negotiations ongoing clearly when we say above €16 billion, is because we don't know what will be closed, what not. So saying above €16 billion, we are saying that this is the floor and then clearly, above is above.
Operator: Our next question comes from Virginia Montorsi from Bank of America.
Virginia Montorsi: It's on inflation again. Could you help us maybe understand how the various buckets of inflation into next year are going? I know you mentioned wages and purchases price. But in terms of your divisions, how should we think about where you're more protected versus where you have maybe some more work to do? And then, yes, on the energy side, you said you've hedged your position. Could you give us any more color on this?
Alessandra Genco: Sure, Virginia. So on energy, we have hedged our entire exposure for next year. So we're fully hedged for '22, and we're fully hedged for '23. For inflation, broadly speaking, what we are seeing -- well, there are, as we mentioned before, two main sources of inflation. The first one is from procurement of goods and services. And that is quite spread out across our purchasing categories. And what we have put in place is a mitigation plan that utilizes different levers. The first one is leveraging our inventory. We have significant inventory that we can rely on to serve our customers and to generate revenues. And that clearly is an inventory that is priced at old pricing. The second one is the fact that we have, we are negotiating contracts and renegotiating contracts with suppliers and look at those renegotiations also in a more creative way, meaning looking, for example, at centralized the purchases on one single customer at group level so that we have more leverage with our counterparts, as well as extending the length of our commitment in buying where we see when we get in exchange reduced price increase on what we're buying. We're also skipping the intermediaries that typically, in our purchasing process, may exist and go directly to the first -- the final -- the end source, the seller of the goods so that we do not have to pay that intermediary margin. We also, as you well know in '22, had some management reserves, which we are bringing to fruition in order to offset all of these effects. Clearly, on the new contracts, what we're doing on the new bids, we are updating our cost curve in order to reflect the new environment and prices that we are seeing, and our customers are aware of that. Clearly, we know that on the backlog, approximately 70% of the backlog is firm and fixed price. And on that one, we are doing all the actions that I mentioned before to minimize the potential impact and have also engaged dialogue with customers to understand how we can be compensated for these extraordinary effects.
Operator: [Operator Instructions] Our next question comes from Daniela Costa from Goldman Sachs.
Unidentified Analyst: So this is actually Victor on behalf of Daniela from Government Sachs. Just a quick question on free cash flow. So when I look at the performance, obviously, like so far this year, it's been good. And I was wondering how to think about Q4, basically and the moving parts to reach your guidance and whether there is like some upside. I know you've had like a good contribution from dividends and working cap. But wondering how -- if you could give more elements on this.
Alessandra Genco: Sure, Victor. Well, as you said, the performance at free cash flow level has been strong. Year-over-year, we have absorbed €0.5 billion less cash, which is clearly the result of all the actions that have been taken in the last two years, that were coming to fruition -- has started to come to fruition in '21, and we are now confirming the positive trend in '22 quarter after quarter. What we see for Q4 is the usual important net cash inflow as we finalize orders with customers, we finalize milestones. The amount of cash-ins are very, very relevant for the group, and this is what will allow us to deliver the, in a way, upgraded guidance if you take into account the delta and perimeter due to the GES deconsolidation, and we're confirming the €500 million for the full year '22.
Valeria Ricciotti: Go ahead. Victor, anything else? No. Okay. Let's take questions from the web. The first one is, "Following DRS listing via the merger with RADA, would you consider selling more DRS shares in the future?"
Alessandro Profumo: We always said that we want to keep the participation we will have in DRS after merger, so the answer is no.
Valeria Ricciotti: Another question. "What have been advantages having taken 25% stake in Hensoldt? Any synergies or partnership between you both?"
Alessandro Profumo: Yes, as we always said, we have presented to the defense minister in Germany, a cooperation plan, which is proceeding. There are four areas on which we are working with Hensoldt. We do have other areas as well, but the four are the key one, where we have a value added on both sides, so we are really sure, not only convinced, but sure that the cooperation, as planned before the acquisition, is becoming reality and the teams of the two companies are working quite well together. There are really different areas on which we are operating.
Valeria Ricciotti: Okay. Let's take some other questions again from the web. Nick Cunningham from Agency Partners is asking, "Could the supply chain issues, which you mentioned for DRS continuing through 2023 and even into 2024 impact your other businesses in the U.S. and perhaps in Europe, too. Also, are you concerned that inflation may have an adverse impact on the defense budget buying power, resulting in lower annual volumes for big programs?"
Alessandra Genco: Okay, Nick. So on supply chain issues and what's the forecast for '23 and '24. Honestly, our view, but this is clearly a personal perspective is that we see '23 as the peak year of pressure. And we do believe that in '24, things will ease up also because of what we're seeing in the macro trends and potentially a slowdown in demand as the economy globally is slowing down. In the U.S., the supply chain issues have been particularly impacting revenues. While in Europe, as you have seen in the nine months results, we have managed to mitigate the shortages with remediation plan that have worked nicely thus far. With respect to potential impacts on inflation on procurement buying power, I mean what we are seeing is that in the U.S., for example, there is a very, very well-extended discussion around inflating the budget for '23 to take into account pricing going up for goods. So in that part of the world, we do see that the DoD's priority are to protect programs and the ability of suppliers to deliver on future programs that are a priority for customers and raise the budgets. This discussion is yet to take place in Europe and in other geographies, but I would be confident that it's under everyone's eyes the fact that prices are going up, and I'm sure that this is going to be an element that our customers will take into account when thinking about budgets in the future.
Alessandro Profumo: If I can add the comment since the level is 2% of GDP with inflation in reality, you have a growing target. So there is an effect of attraction to a higher number. So it's clearly moving the amount will be allocated to defense. So this is clearly very important. And overall, every day, there is a strong confirmation of the fact that this target will be maintained. Some countries, even above 2% because many countries are saying that 2% is a floor. Some countries are already planning to go above that.
Valeria Ricciotti: Okay. Let's take again another question from the web. "Any comment, please, on new Italian government possible strategy to force Leonardo to acquire Fincantieri?"
Alessandro Profumo: Listen, we always said, but also the CEO of Fincantieri has been very clear on that there is no value in doing a merger. So I think that this is a very clear comment. I don't have any feeling on this. It's called the pressure on this pressure.
Valeria Ricciotti: Okay. Then I'll take another question from Virginia. The first one has been already answered. "There have been some talks around delays in German defense procurement. What are you seeing on your end given that Germany is a key country for you?"
Alessandro Profumo: When you are talking of delays, you are talking of delays on new programs on which maybe there will be some delay. As you know, they have discussed of the [Foreign Language] of the F-35 and so on and so forth. On the other areas, they are continuing to work in a significant way, for instance, the Eurofighter. So we are not seeing delays for what is relevant for us today.
Valeria Ricciotti: Okay. We -- I'm seeing a lot of questions around inflation, but we went through this topic many times in answering different questions. Anybody else from the call that would like to ask questions to us?
Operator: [Operator Instructions] We have a question from Gabriele Gambarova from Banca Akros.
Gabriele Gambarova: I've got two. The first one is on helicopters. I saw that in Q3, the top line growth was very strong, plus 26%. So I was wondering if you could give me, let's say, a directional indication for Q4 or for the whole '22 and possibly an explanation for this jump in Q3. And the second one is, again, on helicopters, I saw in your remarks there is this Norwegian defense issue on the NH90. So I was wondering if this aspect has been, let's say, factored in your numbers or in your guidance in any way.
Alessandra Genco: Yes, Gabriele. So the first question you raised at the third quarter performance on helicopters and going forward. Helicopters is performing well and raised the growth in top line, mainly because of strong delivery on the NH90 Qatar contract, which was planned as well as good customer support contribution and the AW169. The outlook for the end of the year is to continue on a good path. And this trend was planned as per the underlying contract with specific milestones that we have signed with customers. On the Norwegian NH90 situation, shall I comment as well? Okay. The Norwegian customer has recently expressed a view to -- desire not to continue to use the helicopters, the NH90 helicopters. That is a product that we are partnered with Airbus. Airbus is approximately 60% share and Leonardo 40%. What has been happening since then is that we have been in conversations, very detailed conversations with...
Alessandro Profumo: So in fact, in reality it's 62,34 and the rest is…
Alessandra Genco: Sure. You're right. Yes. To be more precise, the CEO is right. I was rounding up numbers. And...
Alessandro Profumo: 64, 32 and the difference is -- because Airbus do have the sum of two players, worth 32, 32, 32, 32. Airbus merger, two players. So it's 64 now, 32 is us and 4% is Foggia.
Alessandra Genco: Absolutely, yes. That's the share distribution of activity within the consortium. Now on these helicopters that were delivered, all of them except one, which we're planning to deliver in the immediate future. We have been engaged together with Airbus and with NHI, the consortium with the customers to understand the reasons behind this request and to understand how to move forward, considering that the fleet of aircraft has been flying, considering that there's been a number of contract amendments throughout the past few years, and the contract is actually dated 2001. So having this change of perspective after 21 years is clearly not a common event that the business team is looking further into to understand how to best move forward in everyone's interest.
Valeria Ricciotti: Okay. Let's take another question from the web. "Any update on your Aerostructures division?"
Alessandro Profumo: Valerio?
Valerio Cioffi: Okay. Our plan is fully confirmed. Military program, [Our Own Shadow], Airbus has a very positive outlook, confirming the growth both in the A321 and the A220. ETR is progressing both on the commercial side and also on the development of the new configuration, the store, the short take-off and landing, and we are delivering the cargo FedEx version. Boeing deliveries already started during the last month and are gradually increasing in order to come back to previous level even if as Boeing said, not before '24, '25. We are also progressing in the diversification issue. We started the EuroMALE wing in aerostructure. We are near to close some bidding process for newer packages. And so mainly, we are confirming our breakeven for 2025 without any impact on what we are foreseeing during this year.
Valeria Ricciotti: Thank you. Final two questions. The first one is whether we expect an acceleration in reduction of net debt. And the second one is around U.K. positive news, if any, in the helicopters.
Alessandro Profumo: Reduction of debt acceleration, we are doing better than expected. As you have seen, we had a guidance, which is lower by €100 million, which having paid this year, the €606 million for Hensoldt is quite a good number. We continue to work in this direction. So we confirm that at the end of the plan, we will be zero debt as expected. Then if you are capable to speed up the process, clearly, we are always working on that, but I cannot say anything today is our aim, but we have to be also in line with the numbers. Clearly, you have seen how strong is our priority and how discipline we are, because I remember at the beginning of the year, when we were talking of the payment of Hensoldt, there were many skeptical positions on the fact that we should be able to reduce that despite of this acquisition. Helicopters, as you know, the new medium helicopter has been postponed as a program by U.K. We continue to be very confident since we are convinced that our platform, which is an existing platform and with two customers today, is an incredibly strong platform. Also from the social point of view, we are very well positioned in U.K., as you know, the social impact to have a way in the assignment of this type of contracts and we will localize a huge portion of helicopter, 60% of helicopter, which is an incredibly -- will create an incredible strong impact socially in the [COVID] areas. So we are sure that in terms of the so-called prosperity plan for U.K., we are -- and we will be a very strong player.
Valeria Ricciotti: I think this was the final question.
Alessandro Profumo: So if this was a final question, thanks really all of you. And as some of you commented, we will see for the year-end results. If, as usual, you have any question, Valeria, but also the three of us, we are more than ready to have the opportunity to see you and meet you in dedicated meetings, so via Valeria, ask for one-on-one or whatever it is, and we will, we are more than happy to discuss with you of the Leonardo and our future. So thanks a lot. For someone, good evening; for someone else, good afternoon. But so it's thanks a lot and thanks again for being with us today.